Graham Chipchase: Good morning, everyone, and thank you for joining our presentation of Brambles' First Half results for the 2026 Financial Year. Today, I'll be sharing the highlights of the first half, a detailed look at the operating environment as well as our progress against our strategic priorities. I'll then outline our revised outlook for FY '26 before handing over to Joaquin to take you through the financials in more detail. Let's start with our first half performance highlights. Our first half result reflects the resilience we've built into the business and our disciplined execution on factors we can control to drive efficiencies across our operations and improve the customer experience. We achieved sales revenue growth of 2%, with strong net new business growth offsetting consumer demand pressures on like-for-like volumes and pricing recovering cost to serve increases. Underlying profit was up 7%, reflecting meaningful operating leverage driven by supply chain and overhead productivity improvements, together with disciplined cost management across the business. Higher earnings and sustained improvements in asset efficiency delivered robust free cash flow before dividends of USD 482 million. As a result of this strong cash flow generation, we are pleased to declare an interim dividend of USD 0.23 per share, up 21% on the prior corresponding period. Our strong financial performance has enabled strategic reinvestments to strengthen our customer and investor value propositions over the long term. Chief among them are enhancements to the customer experience, encompassing platform quality, service reliability and responsiveness. These improvements continue to position us as the partner of choice for existing customers, while supporting considerable new business momentum in all regions. Customers are also benefiting from our ongoing focus on collaboration to drive efficiencies across their supply chains alongside productivity improvements in our own operations. Together, these initiatives are making our business more agile and ensure we deliver strong value for customers relative to alternative solutions. The FY '26 on-market share buyback is on track for USD 400 million by the end of June 2026, with USD 191 million of shares purchased during the first half of the year. Finally, we are proud of our ambitious 2030 sustainability program launched in September last year. The program guides the next phase of our regenerative ambition, building on our success to date, while extending our focus on nature and deepening our net positive impact across the value chain. Let's turn now to the key operating dynamics and their impact on our business in the first half. Our operating environment was characterized by moderating rates of inflation and challenging consumer demand conditions across key markets. Inflationary pressures were modest and primarily driven by labor and transport, while fuel prices remained stable. Lumber prices were varied across regions, while the average capital cost of a pallet for the group, excluding mix, was broadly aligned with the first half of FY '25. Against this backdrop, our price realization reflected modest increases in the cost to serve with inflationary pressures tempered by the efficiencies and benefits we generated across customer supply chains and our own operations in the period. This included benefits from the overhead restructuring program we announced last year, which positioned us well to manage the impact of the demand headwinds we experienced in the half. Consumer demand remained weak, particularly in the U.S. and Europe due to ongoing cost of living pressures and increasing labor market uncertainty with the U.S. further affected by a prolonged government shutdown. As a result, pallet volumes with existing customers declined across both markets in the first half. We also saw lower like-for-like volumes in Australia as retailers and manufacturers reduced inventory levels in response to normalizing consumer demand patterns and stable supply chain dynamics. Importantly, there was no material inventory optimization in other key markets, where optimization largely occurred during FY '23 and FY '24. Despite softer demand from existing customers, our overall volumes were supported by continued success in winning new business, building on the momentum established in the second half of FY '25 and reflecting our sustained investment in sales capabilities and a compelling customer value proposition. As automation becomes more prevalent across supply chains, customers are increasingly recognizing the quality, reliability and efficiency benefits Brambles and its platforms can offer in navigating complex operating environments. Broader market dynamics in Whitewood, including price increases and challenges to the availability of quality recycled pallets in the U.S. during the first quarter also supported new business conversions in the period. From a cost perspective, we continue to see increased costs driven by excess pallets in the U.S. and inventory optimization in Australia. These included incremental transport costs in both markets, while the U.S. continued to incur storage costs and additional repair activity due to ongoing increases in pallet damage rates. Finally, we ended the period with approximately 4 million excess pallets in the U.S., in line with levels at the end of FY '25 as softer consumer demand conditions and pallet inflows from Latin America meant surplus plant stock was not absorbed as quickly as anticipated for the half. However, we still expect to return to optimal plant stock levels by the end of the first half of FY '27. Turning to our Brambles of the Future strategy and the progress made in the half. Delivering an effortless customer experience remains a core pillar of this strategy, and we are pleased with the ongoing improvements across key customer metrics, including reducing the time for complaints resolution and improving our performance in both the delivery and collection of pallets. This contributed to a 9-point gain in our Net Promoter Score against the first half of FY '25, which has also been supported by our ongoing investment in pallet quality to help meet the evolving requirements across customer and retailer supply chains. Initiatives, including incremental repairs, enhanced quality checks and audits and automated end-of-line inspections are all helping to ensure quality remains a core part of our customer value proposition. We continue to make steady progress in digital and data to build solutions that ultimately drive efficiency and connection by illuminating supply networks to solve supply chain problems. Our portfolio of digital customer solutions, including proof of delivery, reusable asset optimization and end-to-end fresh continues to gain momentum as we scale pilot programs and engage additional customers during the first half of FY '26. We now have engagements with a wide range of retailers, manufacturers and fresh producers spanning 9 countries, including the key markets of the U.S., the U.K., Spain and Australia. Within our own operations, our focus is on building a leaner, more agile circular model that can set new standards in safety, efficiency and resilience and to do that at scale. This starts with safety, where we delivered meaningful improvement against key measures. Our sustained commitment to a safety-first culture has translated to a lost time injury frequency rate improvement of 38% against the prior corresponding period. At the same time, our supply chain initiatives ranging from procurement, transport and plant network optimization and operational excellence have supported an 80 basis point margin improvement. We have also steadily progressed our Plant of the Future program, which includes our long-term ambition to develop touchless repair capabilities and identify opportunities for the integration of modular technology across our service center network. Finally, we are progressing our regenerative ambition to build supply networks that deliver positive outcomes for the environment, communities and economies. We recognize that in applying regenerative principles to meaningful areas across our operations, we are working at the forefront of sustainability strategies. As a result, our early focus has been on developing a road map with stakeholders throughout the business and in collaboration with leading nongovernment organizations to deliver our 2030 targets. This includes leading-edge metrics and measurement systems that help drive and track our net positive impacts, while ensuring we maintain credibility and the confidence of all stakeholders. Among early achievements of our 2030 program has been the continued steady progress in decarbonization with a 5% reduction in our Scope 1 and 2 emissions, while we lowered Scope 3 emissions by 1%. Our leadership in sustainability continues to be recognized externally. We are proud to have retained CDP's maximum A-List rating for both climate change and forest, while also achieving global top employer certification for the fourth consecutive year. Turning now to an update on our Serialization Plus program, which has the potential to deliver significant incremental value across all pillars of our strategy. In Chile, our pilot market for Serialization Plus, the focus remains on delivering value to our customers through the end-to-end visibility of supply chains enabled by our pallets. In the first instance, this is about offering a new effortless service offer that significantly enhances the customer experience by removing the burden of pallet declarations and audits. At the end of the first half, 95% of customers have converted to this effortless service offer, and we remain on track to convert the remaining customers to this model by the end of FY '26. At the same time, we continue to systematically explore additional sources of value Serialization Plus can unlock for customers and our business, which I'll address in more detail on the next slide. Operational testing continued in North America and the U.K. as we seek to optimize the key cost and operational factors that are critical considerations for any future decision to roll out Serialization Plus in these markets. In North America, we continue to build the base read infrastructure across our service center network that underpins the Serialization Plus operating model. During the half, we instrumented an additional 10 service centers and remain on track to have read infrastructure in place to cover 2/3 of planned flows by the end of FY '26. We also took meaningful strides in reducing the cost of tags in the period. After trialing 48 different tag types in the half, we reduced tag costs by over 20% with exploration of further optimization opportunities underway. In the U.K., we continue to explore the feasibility of lower-cost tracking devices. Performance to date has been encouraging, particularly in how these lower-cost devices complement the autonomous tracking devices already deployed. Together, these technologies are expected to capture data and insights in a more cost-effective manner. Turning to Mexico. We are scaling our continuous diagnostics program by deploying our autonomous tracking devices with full functionality. While the primary benefits from continuous diagnostics is improved asset control and network visibility, we have also been encouraged by our early success in our end-to-end fresh subscription offering. Finally, we are leveraging our smart asset base in North America and Europe to enable new customer propositions. We are encouraged by the positive feedback received to date and look forward to further developing this offering to enhance the customer experience by reducing the administrative burden as well as expanding the lanes we can potentially service. Turning to the value insights from Chile this half. We continue to refine our understanding of value across the Serialization Plus scorecard outlined in August, which is guiding our efforts to prove out the value potential of Serialization Plus. From a customer experience perspective, as we have converted our customers to the effortless service offer, we have seen the number of transactional queries from customers reduced by 1/3 with the greatest decrease seen in audit-related cases. As one of the major friction points in our traditional pooling model, this result gives us comfort about the improved customer value proposition that Serialization Plus enables. On growth, the effortless service offer continues to facilitate new business growth in Chile with 5 new customer conversions and 2 lane expansions in the first half. Particularly pleasing was the fact all 7 customers attributed their decision to choose CHEP to the simplicity and benefits of the effortless service offer. For pricing, Serialization Plus continues to identify unauthorized reuse across the supply chain, providing opportunities for us to monetize this in line with the cost to serve. We know that by optimizing the cost to serve, including asset efficiency, we can deliver value for both Brambles and our customers. To advance this, we have released our first version of our Serialization Plus app. The app allows us to interrogate damage rates and cycle time in a visual manner, presenting us with the opportunity to partner with our customers to support asset performance in their supply chains. These insights are also being combined with additional data to identify leakage points across the network to improve asset efficiency. On generating value from supply chain insights, we are looking at our own service network to determine the benefits of being able to identify an individual pallet at additional stages of the integrated repair line, including understanding the additional efficiencies this can create. Secondly, we are trialing the ability to scan pallets at manufacturer sites to assess opportunities to optimize pallet reuse. We aim to further develop these capabilities in the second half to understand the value potential from these areas and other supply chain insights. Finally, I would also like to reiterate that any full market rollout is contingent on achieving the previously communicated hurdle of greater than 15% return on capital invested once the market pool is fully serialized. Let's turn now to our FY '26 outlook before I hand over to Joaquin for the financial overview. Based on our performance in the first half and expectations for the balance of the year, we have revised our full year guidance. We have narrowed our expectations for revenue growth to 3% to 4%, previously 3% to 5%. And this reflects our view that consumer demand is likely to remain subdued while also recognizing there is uncertainty in how sentiment evolves during the year. Our guidance for underlying profit growth remains unchanged at 8% to 11% as the anticipated supply chain and overhead cost efficiencies we expected at the beginning of the year accelerate in the second half, delivering operating leverage despite modest volume growth. We have upgraded our guidance for free cash flow before dividends by USD 100 million and now expect free cash flow generation of USD 950 million to USD 1.1 billion for the full year. This reflects reduced pooling capital expenditure in line with volume growth expectations alongside the rephasing of the automation and digital investments. We expect total dividends for FY '26 to remain in line with Brambles' dividend payout policy range of 50% to 70% of underlying profit. Finally, we remain on track to complete the USD 400 million on-market share buyback by the end of FY '26, subject to the full range of conditions customary for buybacks. I'll now hand over to Joaquin to take you through our financial performance in greater detail.
Joaquin Gil: Thanks, Graham, and good morning, everyone. Before getting into the details, I wanted to touch on the key highlights of our first half performance. These were the strong new business momentum across our pallet businesses in the Americas, Europe and Asia Pacific as we continue to convert new customers away from the whitewood alternatives. Our ongoing commercial discipline that recovered cost to serve increases in the period, the continued focus on supply chain and overhead productivity, which delivered strong operating leverage with margins expanding by 1.1 points and the sustained improvement in the capital intensity of our business, which underpinned the strong free cash flow generation in the first half. Overall, our results highlight the resilience of our business as we continue to deliver on our investor value proposition despite like-for-like volume softness with total value created for shareholders of approximately 16%, including EPS growth of 13% and a dividend yield of 3%. Turning now to Slide 12, which provides an overview of our first half results. I will focus on our profit after tax and EPS performance here as I will address revenue and underlying profit in the slides that follow. Profit after tax from continuing operations increased to 11%, ahead of the 7% growth in underlying profit as lower net finance costs and a reduction in the hyperinflation charge more than offset the increase in tax expense during the half. Net finance costs decreased 7%, reflecting strong free cash flow generation that reduced the average balance of floating rate borrowings during the period. Despite a 3% increase in tax expense, our underlying effective tax rate decreased by 1 percentage point at actual FX rates, primarily due to the reduced impact of the base erosion and anti-abuse tax in the U.S. EPS growth from continuing operations increased 13% and included a 2 percentage point benefit from the on-market share buyback undertaken during the 2025 calendar year. Finally, our continued capital allocation discipline and focus on driving productivity improvements resulted in ROCE increasing 1.1 percentage points to 24.3%. Moving to Slide 13. Group sales revenue increased 2% in the half as continued momentum in net new business and ongoing commercial discipline to recover cost to serve increases more than offset the impact of weak consumer demand on like-for-like volumes. Price realization of 2% was primarily driven by price increases to recover inflation, mainly in labor. As you'll see throughout the presentation, price outcomes varied by region, reflecting local inflation and sharing cost-to-serve efficiencies and productivity benefits with customers, as Graham outlined earlier. Net new business growth increased 2% as the strong rate of new business wins achieved in the fourth quarter of FY '25 continued into the first half of FY '26. The Americas and European Pallets businesses delivered net new business growth of 4% and 2%, respectively, across quarter 1 and 2, providing an encouraging platform as we headed into the second half. Like-for-like volumes declined 2%, reflecting the consumer demand and inventory optimization dynamics Graham outlined earlier. Performance across all components of revenue growth was broadly consistent in both quarter 1 and quarter 2. In the second half of '26, like-for-like volumes are expected to benefit from cycling a weaker second half '25 comparative period. In addition, we expect some improvement in U.S. consumer demand in the remainder of the year, subject to prevailing market conditions. Turning now to Slide 14. Underlying profit increased by 7%, including approximately $15 million of one-off restructuring costs. Excluding these costs, underlying profit grew by 9% as sales revenue growth and benefits from supply chain and overhead productivity initiatives offset inflationary pressures and increased investments to enhance the customer experience and progress digital initiatives. Looking at the key drivers of profit growth, sales revenue growth contributed $72 million to profit, while North American surcharge income increased $5 million, in line with prevailing market indices for lumber, transport and fuel. Plant and transport costs collectively increased $19 million as cost savings of $73 million from procurement, transport and plant network optimization initiatives were more than offset by several cost increases across the group. These included input cost inflation of $53 million and costs associated with higher damage rates in the U.S., driven by increased asset utilization in line with improved asset control in the region. In addition, we also saw higher transport activity in the first half as we optimized pallet balances across North America and averaged a longer length of haul in Europe. IPEP increased by $1 million as continued asset control improvements in the Americas were more than offset by higher IPEP expense in Europe in the first half, driven by increased pallet loss rates and a higher first-in, first-out unit cost of pallets written off. The first half '26 IPEP expense also included a $5 million charge relating to the timing of audits in Europe, with a higher percentage of annual audits conducted in the first half of '26 compared to the first half '25. This is expected to normalize in the second half of the year. Other costs increased $5 million as cost management initiatives were more than offset by a reduction in asset compensations in Europe due to lower losses in compensated channels and increased scrap pallets in the U.S. due to the impact of higher damage rates. The overhead restructuring program was a net expense of approximately $1 million in the half as $15 million of costs were largely offset by the realized benefits of $14 million. Central transformation costs reduced by $8 million, reflecting the receipt of government research and development incentives relating to our digital program and the capitalization of Serialization Plus equipment in Chile following the successful customer adoption of the ESO. Turning now to margin performance on Slide 15. At our FY '25 results announcement, we revised our FY '28 margin expansion target to 3 percentage points plus, up from 2 points plus compared to the FY '24 baseline. As shown on this slide, we continue to make good progress towards this goal, delivering 1.1 percentage points of margin improvement half-on-half, and we remain on track to deliver our FY '28 margin improvement target. Several key drivers contributed to our first half margin performance, which I'll cover now. Supply chain productivity, measured by the group's net plant and transport cost to sales ratio contributed 0.8 percentage points to the improvement in margin. This was driven by cost savings from procurement, enhanced transport productivity and plant network optimization initiatives. Overheads and other cost productivity contributed 0.3 percentage points to margin improvement, reflecting the ongoing benefits associated with streamlining operations, improving processes, leveraging technology and reducing discretionary spend. Following a strong contribution to margin expansion in FY '25, asset efficiency remained stable this half and did not provide incremental margin benefit. This outcome reflects continued improvements in asset control in the Americas, driven by digital insights and enhanced data analytics, which offset the higher IPEP expense charge in Europe I outlined earlier. Turning to Slide 16. You can see the impact of asset efficiency improvements in stabilizing the capital intensity of our business, reflected in both the IPEP to sales ratio and the group's pooling capital expenditure to sales ratio. These outcomes demonstrate that the gains we have delivered in asset efficiency are structural in nature. The pooling capital expenditure to sales ratio remained broadly in line with first half '25 at 11.8% as the increase in pooling capital expenditure due to pallet purchase mix was offset by sales revenue growth. Pallet purchase units remained in line with first half '25 as higher volume growth in first half '25 was largely supported by the utilization of excess pallets in the U.S. in that period. There was no capital expenditure benefit from excess pallets in first half '26, given excess pallet balances in the U.S. remained in line with the FY '25 level. Growth and replacement requirements in the U.S. business in the first half were managed through pallet inflows primarily from Latin America. While the IPEP to sales ratio remained in line with first half '25 at 2%, it is expected to be approximately 1.6% for the full year, driven by ongoing improvements in asset control and the normalization of the audit timing impacts in Europe in second half '26. The increase of 0.2 percentage points on the FY '25 ratio reflects the impact of higher FIFO unit cost of pallets written off and an increase in uncompensated losses, primarily in the EMEA segment. Moving to our cash flow performance on Slide 17. Free cash flow before dividends increased $53 million to $482 million in first half '26. This increase was driven by a combination of higher earnings and lower working capital outflows, primarily due to normal variations in the timing of creditor payments. These benefits were offset by $73 million increase in capital expenditure on a cash basis, mainly reflecting the timing of pallet purchases in the period, a $20 million net increase to finance and tax payments due to earnings growth, partially offset by lower finance payments due to strong free cash flow generation. A $7 million decrease in proceeds from sale of property, plant and equipment due to lower losses in compensated channels, particularly in Europe, and a $3 million net increase in other movements, primarily due to increased spend on intangible assets relating to technology investments to support customer experience, digital and supply chain initiatives. This is partly offset by lower outflows from employee provisions. As outlined on Slide 16 on asset efficiency, there is no cash benefit from the utilization of excess pallets in first half '26. Turning now to Slide 18 and looking at segment performance, starting with CHEP Americas. The region delivered new business momentum and meaningful margin and ROCE improvements driven by efficiencies across all aspects of the business. Revenue growth of 2% reflected a balanced contribution from price and volume. Price realization of 1% recovered cost to serve increases, while volume growth of 1% was driven by a 4% increase in net new business across all pallet businesses, which more than offset a 3% decline in like-for-like volumes. This decline reflected weak consumer demand in the U.S. and Latin America across most consumer staple sectors as well as weather-related impacts on the beverage and produce sectors in Mexico. Margins increased 2.1 points as asset efficiency improvements and benefits from supply chain and overhead productivity initiatives more than offset incremental repair costs linked to higher damage rates in the U.S., increased relocation activity to optimize pallet balances across North America and one-off restructuring costs. These benefits also supported further investments to improve the customer experience, notably quality investments, including enhanced end-of-line quality control and pallet durability as well as digital investments, including Serialization Plus. ROCE increased 2.3 points as profit growth more than offset the 2% increase in ACI with asset efficiency improvements in the region, partially offsetting increased pallet purchases in Latin America and investments in automation. Looking now at U.S. pallet revenue on the next slide. The U.S. Pallets business delivered revenue growth of 1%, supported by volume growth as strong net new business momentum offset consumer demand headwinds to like-for-like volumes. Price realization was in line with the cost to serve as price increases to recover inflation, primarily labor were offset by sharing benefits of better asset control and other cost-to-serve efficiencies with customers. Net new business volume growth of 4% was driven by enhanced sales capabilities and an improved customer value proposition as well as favorable market trends, including increased automation in customer supply chains and retailer advocacy for pooled pallets. This sustained momentum offset a 3% decline in like-for-like volumes, reflecting weaker consumer demand due to persistent cost of living pressures, together with prolonged U.S. government shutdown in the period and increased labor market uncertainty. We continue to have a strong new business pipeline in this region and expect this rate of net new business growth to continue in second half '26. Turning to CHEP AMEA. While first half margins in ROCE were impacted by one-off items and timing, we still expect profit growth and margin expansion for the full year. Revenue increased 2%, driven by 2% price realization to recover modest inflation. Net new business wins increased 1% as a 2% growth in European pallets more than offset the impact of a large customer contract loss in the automotive business. Like-for-like volumes decreased 1% due to weak consumer demand in Europe across both pallets and the automotive business. This was partly offset by growth in South Africa and Turkey. Margins declined by 1.6 percentage points as sales growth and supply chain and overhead efficiencies were more than offset by one-off restructuring costs of $5 million, input cost inflation, higher pallet collection activity and a $15 million increase in the Europe IPEP expense. This increase included the $5 million timing impact I mentioned earlier, which is expected to normalize in the second half of the year. The balance of the IPEP increase reflected higher uncompensated losses and increased FIFO unit cost of pallets written off. Return on capital invested decreased 1.9 percentage points, reflecting lower underlying profit and a 2% increase in average capital invested, driven by higher lease costs associated with service center additions and renewals and investments in service center automation. Moving to CHEP Asia Pacific on Slide 21, where productivity initiatives and commercial discipline supported investments in customer experience and financial returns. Revenue increased 3%, reflecting price realization of 4%, offset by a 1% decline in volumes. Volume performance was driven by a 3% decline in like-for-like volumes, reflecting a lower average number of pallets on hire due to inventory optimization at retailers and manufacturers in Australia as well as weaker consumer demand in New Zealand impacting RPC volumes. This was partly offset by contract wins across the pallets and RPC businesses. Underlying profit margin improved by 0.9 percentage points, reflecting operational efficiencies, including supply chain and overhead productivity initiatives. These benefits were partly offset by inflation, investments to improve customer service and quality as well as increased repair, handling and relocation costs associated with higher pallet returns due to inventory optimization. ROCE increased 2.2 percentage points, reflecting profit growth and a 1% decrease in average capital invested, which included the benefit of asset productivity improvements across the region and lower leased service center assets. Moving now to the Corporate segment on Slide 22, where central transformation costs decreased by $8 million. This primarily reflects the receipt of government research and development incentives related to digital investments and the capitalization of Serialization Plus equipment following the successful conversion of the market in Chile to the effortless service offer. While other corporate costs decreased $1.5 million, reflecting productivity and cost management initiatives. Turning to our updated outlook considerations for FY '26 on Slide 23. We now anticipate full year sales revenue growth of between 3% to 4% with contributions from both price and volume. This reflects our view that consumer demand will remain subdued, while recognizing there is uncertainty around how demand will evolve through the remainder of the year. Second half '26 price realization is expected to be broadly in line with the first half, while second half volume contribution is expected to increase, reflecting continued net new business momentum as well as the benefit of cycling weaker like-for-like comparatives in second half '25 and some improvement in U.S. consumer demand in second half '26. Underlying profit growth guidance of 8% to 11% remains unchanged and includes expansion in group and all 3 segments' profit margins. At a group level, the FY '26 combined plant and transport cost ratio is expected to improve approximately 1 point compared to FY '25, reflecting benefits from supply chain efficiency initiatives. As I previously mentioned, we continue to expect the IPEP to sales ratio for the full year to be approximately 1.6%. The FY '26 overhead and other cost contribution to margin is expected to be broadly in line with the first half of '26. This includes the net benefit from the overhead restructuring program of $15 million and further investments in central transformation costs, including Serialization Plus, digital customer solutions and IT upgrades. Importantly, we remain on track to deliver an annualized benefit of $55 million in FY '27 from the overhead restructuring program. Moving to Slide 24. For the full year, we expect to deliver between $950 million to $1.1 billion in free cash flow before dividends. This $100 million upgrade to the lower end of the prior outlook is primarily driven by 2 factors. Firstly, a reduction in the pooling CapEx to sales ratio range by 1 point to between 13% and 14%, reflecting lower volume growth and lower-than-expected pallet prices. Secondly, a $50 million benefit from lower non-pooling capital expenditure, driven by delayed spend on service center automation equipment and rephasing of Serialization Plus expenditure as the business continues to refine the optimal technology approach and mix in the U.S. and U.K. based on learnings from Chile. In terms of other considerations, while I do not propose to go through each item, we do expect net financing costs to be lower than our original expectations, due to strong cash flow performance. In summary, we are pleased with our first half performance, which reflects the resilience of our business and disciplined execution on factors we can control. While the consumer demand environment remains weak, our focus remains on driving net new business wins in all markets and enhancing efficiency and productivity across our business. We expect these actions to support margin expansion and sustainable free cash flow generation, while enabling us to continue investing in strategic initiatives that underpin our long-term success. I will now hand over to the operator for Q&A.
Operator: [Operator Instructions] Your first question is from Justin Barratt from CLSA.
Justin Barratt: 2 questions. First one, I just wanted to understand if you could talk a bit more actually about your net new business growth cadence throughout the first half of FY '26. I guess I'm just also asking that in reference to if we look at the cadence of your growth in new business wins a couple of halves, it looks like it moderated a touch in this first half?
Joaquin Gil: Thanks, Justin. You're talking at an overall group level? Is that right? Yes. I'd say moderated very, very slightly. So you can see that essentially, when you look at Europe and the U.S., our exit rates at the half were the same as how we exited Q4. I think one thing to note on -- sorry, just one thing to note, Justin, on new business is to a lesser extent, but it still is impacted by consumer demand. So obviously, as you see weakness in consumer demand, then the new business that you win, you get slightly lower volume than you would have otherwise got.
Justin Barratt: Yes. Okay. And then net new business initiatives in the first half, anything to call out there?
Joaquin Gil: I think continued conversion from Whitewood across both the U.S. and Europe and also Asia Pacific. So I think strong new business pipeline and the team continue to do a great job of converting in my view.
Justin Barratt: Okay. Fantastic. And then I just wanted to ask, again, you've got still the 4 million pallet surplus in the U.S. But you're still expecting to get the same benefit in FY '26 and you're still expecting to reach optimal levels in FY '27. I was just wondering if you could, I guess, reconcile those comments for me, please?
Joaquin Gil: So in the first half, we finished, as you said, the same level of excess pallets, which was $4 million in the U.S. as we finished FY '25. And essentially, any pallets required for both replacement and growth came from Latin America, the flows from Latin America. As we've talked about a little bit in our outlook considerations in the second half, we expect some improvement in U.S. consumer demand. And so based on our current forecast, we'd say by the end of first half '27, we would expect to have worked our way through the 4 million excess pallets.
Justin Barratt: And that obviously hasn't changed since the first -- since August.
Joaquin Gil: Yes, that's right. It's just based on the forward look at demand and also expectations on Latin American flows.
Operator: Your next question is from Peter Steyn from Macquarie.
Peter Steyn: At full year '25, there was considerable conversation about measurements and measurement intent, Graham. Is there any update on progress around your thinking there?
Graham Chipchase: So measurement intent on what?
Peter Steyn: Just management, measurement.
Graham Chipchase: The LTIs and things like that. Okay. Yes. So the issue was if you look at the metric, one of the metrics that's used for the LTI, it's that grid of sales growth and ROCE performance. And it was clear that, again, one of the pressures that RemCo is always under is to ensure that the -- you're not paying for backwards performance, however unrealistic that is sometimes. So the grid was increasing the range on sales growth yet at the same time, we were saying, look, look at our investor value proposition, which is saying low to mid-single-digit growth on top line and then leverage on the bottom line. So there was clearly becoming a bit of a disconnect between that grid and the investor value prop. So what we are going to try and put in place for next year, so FY '27 onwards is a revised LTI sort of setup, whereby there's still the RTSR piece in there, but there's also rather than that ROCE sales grid, there will be something much more closely aligned with the total value creation that comes out of the investor value prop. But that is, of course, subject to us, in fact, not the Chairman and the Chair of the RemCo going around to the investors and the proxies and getting their buy-in that obviously then go to vote at the AGM in October. So that's the plan, which I think from a management perspective, much more closely aligns what we're trying to do with what we promised to deliver on the investor value prop. So that's what we're working on at the moment.
Peter Steyn: Yes. Which I suppose kind of comes back to the comments you made about the customer value proposition and Net Promoter Scores and U.S. pallet repair costs and damage rates. I'm just curious to draw the line to that and get your perspective on your repair status at this point Joaquin made the point that it's really about incremental utilization. Just wanted to be really certain there that you guys are very comfortable that you've got that balance right and that there's not perhaps a backlog in repair building at all?
Graham Chipchase: Yes. I mean I think in the past, the distant past, hopefully, there's been an opportunity or a play to not spend the money on repairing pallets to boost the P&L in the short term. But I think that lesson has been well and truly learned in that we cannot sit here and say that in terms of our customer value proposition that we are going to deliver the premium service with a premium product, when our customers need it if the pallets aren't up to the spec. So we're putting every effort we can to make sure that, that is front and foremost of everyone's minds, almost the point of treating product quality along the same lines as safety. So there will be no delaying of spend, both capital or OpEx if it means putting quality at risk. So that's our philosophy. And I think that's sort of very much what Joaquin was talking about in terms of we're continuing to push that through because as we start seeing volume and demand pick up, we need to make sure we have enough high-quality pallets ready for the customers, and that's always been what we try to do now.
Joaquin Gil: I think -- sorry, Peter, I was just going to say the proof points of that, I think, is our pooling CapEx to sales number at that 11.8%. So if we were buying pallets, if I call that unnecessarily or to avoid repair, then you'd see a spike in that KPI.
Operator: Your next question is from Owen Birrell from RBC.
Owen Birrell: Just to start with, I just wanted to ask a question around the $4 million of surplus pallets at the moment. Can you confirm whether they are repaired for service or still yet to be repaired? And I just wanted to get a sense as to what the current storage cost of keeping those pallets. And you did mention relocation costs of the pallets at the moment. Now I'm just wondering, are they costs that are going to unwind into the first half of '27?
Joaquin Gil: Thanks, Owen, and good morning. So pallets are stored not being repaired. So as they come out of storage, they're repaired. In terms of plant and transport ratio, what you can see is that despite obviously continuing to incur storage costs at a slightly higher level than we expected, we've still been able to deliver really good margin improvement and efficiency in that ratio. I think for me, the step change that you're talking about to do with storage comes after we've worked our way through those pallets. So I would see that happening post first half '27. Does that help?
Owen Birrell: Yes, I'm trying to give you a sense of what the magnitude of that will be.
Joaquin Gil: I think, Owen, as you'd appreciate, there's a lot of moving parts. So I think what we really tried to do to help everybody was give you what we expect the full year plant and transport ratio to be. And hopefully, that allows you to work back.
Owen Birrell: Sure. So that's that 1 percentage point improvement that you're sort of talking to?
Joaquin Gil: Exactly, Owen, yes.
Owen Birrell: Okay. And just second question for me. Just looking at the growth splits in the Americas. LatAm, 9% sales growth, Canada, 6% sales growth, significantly boosting that Americas, I guess, percentage. Just wondering if you could give a sense as to what was happening within price and net new wins across both of those regions. Was it all price across both? Was it all net new wins across both? Just give us a bit of flavor there.
Joaquin Gil: Yes. So I think, Owen, obviously, when you look at LatAm, what we saw a dynamic of obviously strong price realization to recover cost to serve increases, saw good momentum in net new business, but then some challenges around consumer demand or organic like-for-like volumes. If you then look at Canada, again, pleasingly, again, strong net new business wins in Canada and again, that recovery of cost to serve or inflation. So that were the key drivers, whereas like-for-like volumes in Canada were more or less flat.
Owen Birrell: Okay. That's great. And just one final question while I've got you. There's been a lot of movement in the market around AI impacts on companies. Just wondering if you can give us a sense as to whether you think Brambles has, I guess, great opportunities or greater threats from AI.
Graham Chipchase: I mean I think one of the good things is we've been using AI for a while. So it's not like there's a big step change we have to make. So we have -- if you look at some of the -- because it also -- obviously, it depends on your definition of AI, it can range from everything from machine learning, use of digital optical capabilities, when you're looking at plant repairs. So all that stuff we've been doing. Obviously, the stuff we're doing around S Plus and the whole digitization of the supply chain relies a lot on algorithms and AI. So we think there's plenty of opportunity. I think particularly when you start looking now at back-office processes, there is a lot to be done. And the interesting thing is the technology is changing so fast that you just got to try and pick your moment to start implementing it. And our approach has been very much let's look at the processes that we think have got the most opportunity to streamline and then apply AI to improve that process. And we've been -- we started work on that. I think it's one of those things that will be going on probably for a very long time as -- particularly as the tools get more sophisticated, but we're certainly embracing that and seeing benefits from it already, I would say.
Operator: Your next question is from Jakob Cakarnis from Jarden Australia.
Jakob Cakarnis: Well done on a good result in a tough operating market. I just had 2 questions, if I could, please. Just on CHEP AMEA. Can you just help us through the dynamics through the second half? It looks like the IPEP timing audit realignment, I guess, on the audits will give 1.5 percentage points of growth. But I just wanted to drill in on the expectation that, that will be back into EBIT growth through the second half. Can you just help us what are the other initiatives there? Is some cost savings? How do we think about that, please?
Joaquin Gil: Yes. Jake, thanks for the question. You're exactly right. So one thing is that IPEP timing reversal, we expect a slight acceleration in net new business wins and then improvements in the plant and transport ratio in the second half. So there's the 3 key drivers, I'd say, of the improvement in the EMEA performance.
Jakob Cakarnis: Okay. And while I've got you, Joaquin, just given the strength of the free cash flow, I was interested in the outlook that you're phasing some of the non-pooling CapEx items, particularly ones that we could maybe argue are more important to the longer term just on automation and Serialization Plus. I appreciate it's at the margin there. But can you just give us a sense of why those programs have shifted to the right a little bit? How do we think about that going forward as well?
Joaquin Gil: Yes. And I want to assure you, we're very much committed to investing in the business and building the business for the long term. It's a combination of things really in terms of that non-hire stock CapEx. So the first one is -- when you look at some of our things like end-of-line quality systems that we're putting in at the moment, there's technology changes that are coming. So rather than invest now, we've just delayed that slightly, that will be into the first half of '27. So I think, again, what that shows is a good disciplined approach to capital allocation. But I think for me, what's pleasingly is we've been able to find other initiatives that are either CapEx light or don't involve CapEx to still make sure we're delivering the financial performance. And then on S Plus, it's again just timing of rollout. I think as Graham touched on, we've essentially moved the market to the effortless service offer. But to make some further investments, we -- as we work through the U.S., for example, we need to see some turns of those pallets to get a better understanding. And we continue to work through technology mix. So for me, it's not about us not wanting to invest. It's more about making sure the technology and the availability of that technology for that investment.
Jakob Cakarnis: And then just to follow up on S Plus in the U.S., Joaquin. Is that going to be supported by customers initially? Or is that, I guess, a proof and evidence sort of arrangement and then that conversation happens later on?
Graham Chipchase: Yes, Jake, I think it's very much -- Chile will be a great example then to be able to take to customers and say, look, we've done this in Chile. Here's what we think the benefits are both to you and to us. And here are the improvements we can get in your efficiency. So we can use Chile as a sort of a reference case, if you like. But the other good -- of course, good news is being a global company with global customers, some of the customers in Chile are also customers in the U.S. So already, we're pretty sure that some of them are talking to their counterparts in the U.S. saying this is working really well. And that will help again with the introduction of S Plus if we decide to roll it out in the U.S.
Operator: Your next question is from Matt Ryan from Barrenjoey.
Matthew Ryan: Just had a question on the new business wins. I think from what you've said, that sort of offsets the volume decline in the second half. So just hoping if you could give us some color on the wins that you're getting either by size or geography?
Graham Chipchase: Yes. I mean it's pretty evenly spread across the geographies. I mean everyone is doing a great job. And I think for us, the confidence is around looking at the pipeline. So one of the investments we made a few years ago around into Salesforce gives you that much more granular view about what is coming down the pipe and what the probabilities of converting it are. And I think that's -- and I think we made some predictions about 18 months ago about the conversion of the pipeline, which has been pretty accurate. It was a bit slow to start off with. So I think we've got a very good view now about what's happening. And the majority of it is converting whitewood users into CHEP pallets. So again, it's not going to disturb any competitor balance in the major markets. It's about these new customers you want to move into a pooled environment. So I think we're pretty confident about it. We've got pretty good visibility for the next 6 months. So we wouldn't be saying what we're saying. We didn't have some pretty good visibility. The only caveat is the point that Joaquin made earlier, if you win a new customer, you assume the existing level of activity. But if consumers generally are buying less, then it just takes longer to get up to the level you assumed when you won the business. But we haven't really seen it as a material issue so far.
Matthew Ryan: And just a follow-up on that effortless service model. Are there any differences between Chile and the other markets that you're looking at?
Graham Chipchase: I mean I would say the biggest one is just scale. I mean, so one of the reasons we chose Chile was it's a fairly contained market, and therefore, getting a good view about just how the data works in terms of using the algorithm to come up with the effortless service offer. Things like, for example, if you have very small customers in Chile, you can't necessarily look at them customer by customer. You might have to aggregate them into subsector groups and segments. Now in theory, that might be a lot easier in the U.S. because you don't have quite so many -- those even small customers are quite big compared to Chile. But other than that, yes, you've got some operational differences like the climate makes the performance of the glue and the tag different, but that's stuff that we'll just crack on through and sort out. And that's one of the reasons we're doing the trials we're doing in the U.S. already is to get ahead of those sorts of issues. Other than that, no, I think pretty similar. Clearly, you've got some slightly different dynamics with the retailers versus -- U.S. versus Chile. But other than that, we don't see it as a major difference.
Operator: Your next question is from Anthony Moulder from Jefferies.
Anthony Moulder: If I can start with the U.S., you've said that you're scrapping more pallets in the U.S. and you've also talked about a higher damage rate. I'm wondering if those 2 issues are related and specifically what's driving that higher damage rate in the U.S.
Joaquin Gil: Anthony Yes, you're exactly right. What we're seeing is the pallets are experiencing more damage, and that means more scrap pallets. And that's a combination of things, obviously, as you inject less new pallets into the pool, then while they're fit for purpose for customers, as they come back, the damage tends to be a little higher.
Anthony Moulder: Right. And picking up on that previous comment about the geography of growth. I think you said during the comments that the growth in net new wins in the Americas was Latin American focused. Why aren't you growing into the white pallet space in North America, please?
Joaquin Gil: No, sorry, Anthony, maybe my fault here. The question was around the Americas. And given that we already split out the U.S., I covered Canada and LatAm. But if you look at the U.S., we had net new wins of 4% in the first half.
Anthony Moulder: Right. Okay. But you're not using those surplus 4 million pallets in the U.S. Wouldn't you use those if growth was originating in the U.S.?
Joaquin Gil: You would, 100%. And the impact was really because we saw consumer demand or like-for-like volumes down. So the -- in the first half, the volume that the U.S. needed for either replacement or to meet growth came from Latin America. And the difference is really that decline in like-for-like volumes of 3%. So then as you look out to the second half and into first half '27, we expect obviously like-for-like volumes to improve, good momentum on net new business, and so we'll work our way through those 4 million pallets.
Anthony Moulder: Okay. The overhead costs, you've called out, I think it's $15 million savings for FY '26 on top of $35 million from FY '25 and another $55 million next year, so $105 million of what we thought was about $189 million of overhead. Is that the appropriate level of overhead to keep in the business beyond FY '27, please?
Joaquin Gil: I think I look at it a different way, Anthony, rather than have a target for what does overhead need to be. It's about making sure we invest to drive the growth in the business and long-term success. So similar to the answer we gave during transformation, we're investing where it's right. But as we touched on, we are also looking for productivity initiatives and making sure that we're doing what we can. So how I would more look at it, Anthony, if I was you, is we gave our margin improvement target of 3 points plus by the end of the FY '28 off the FY '24 baseline. So you can see how we're progressing on that. And then, you know, we've said asset productivity, we're more or less are where we're mature in that, with still some opportunities to go in overheads and supply chain.
Anthony Moulder: Okay. And lastly, if I could, the cost to serve benefits are now being shared with customers since perhaps the price impact. How specifically should we think about cost to serve benefits for customers impacting price going forward, please?
Joaquin Gil: Yes. I think, Anthony, this is one we've chatted a little bit about, which it really is about us recovering the cost to serve. So where a customer can help us lower the cost to serve, then we share that benefit. So I think how I would look at it is, ultimately, this is about margin, profitability and free cash flow generation. So depending on the cost to serve, we'll recover it through pricing. But obviously, it's a win-win if we can lower that cost to serve and customers pay less.
Anthony Moulder: So less pallets going down into NPDs and the like. Is that a key component of that change, please?
Joaquin Gil: No, I think what it's more about is 2 things that I think are really great. Obviously, the investments in technology like Ultra devices have turned NPD lanes that were initially very high cost to serve, lower cost to serve. And then obviously customers assisting in converting customers or improving controls at NPD customers. So there are less losses. So it's not about not servicing customer demand here, it's just how can we all do it at a lower cost.
Operator: Your next question is from Andre Fromyhr from UBS.
Andre Fromyhr: First question is just about the composition of sales and in particular, in the guidance commentary. So if I understand, you're suggesting that net new business would sort of track similarly in the second half at around 2% price, similarly around 2%. So at the 3% to 4% group level, implying sort of a like-for-like in the minus 1% to flat environment. So is that a fair read? And that implies sort of actually positive like-for-like in the second half, not just improving. So what gives you that confidence on the, especially on the consumer side of like-for-like following the last few years that we've seen in like-for-like trend?
Joaquin Gil: Yes. Thanks, Andre. And look, your interpretation of the FY '26 outlook considerations is broadly in line with ours. I think the things that give us confidence as you look out is, as we get to the second half, we are cycling easier comparatives from the prior year. So that's essentially 2 points of decline that we're cycling. And then you look at expectations on the U.S. consumer demand, as obviously there's been some tax changes, et cetera, you have the World Cup. So what we wanted to do in the outlook considerations is very clearly lay out our assumptions and then people can form their own judgments as well as ours in terms of what they expect to happen to consumer demand.
Andre Fromyhr: Okay. And then expanding that into the EBIT guidance, can you help us understand what has changed in your expectations since August by -- and just in terms of the ability to still be able to attain the top end of the 8% to 11% underlying profit range, given we're now expecting the sort of lower end of the sales. Does that make sense?
Joaquin Gil: Yes, that does. I think a couple of things, Andre. One is obviously it depends where you sit on the sales revenue guidance of 3% to 4%. Then when you look at our productivity and efficiency improvements, in particular, in supply chain, it depends how successful we are at those. So if we were to overdeliver then that gets you to the top end of the range. And I think IPEP is another one, I think, really pleasing progress continuing in the Americas, some challenges in Europe. We're confident in our plans for the second half, but that is also a swing factor. So a range of moving parts, but we're still very confident with our guidance.
Andre Fromyhr: Okay. And then last one for me is just on Serialization Plus, in particular in the U.S. You've referred to continued rollout of the read infrastructure there at the moment. So how much of a sort of precommitment is that on the project? Like are we still considering a scenario where you decide not to go ahead with S+, or is it more like you'll do it at some point, but it will take your time to make sure you sort of learn the most you can out of Chile and another examples.
Graham Chipchase: I mean, I think, when we talked about the -- putting the read infrastructure into the U.S. in the first place, I think there were a couple of considerations there. One is, there's a lot of the spend, we think, is no regret or little regret because we can use a lot of the cameras, for example, in the repair line if we wanted to, if we decide not to go ahead with S+. The other thing, though, is that I think the initial readout from Chile is looking very promising. So this would be to get to value quickly, putting the read infrastructure in, given that it's low regret, makes a lot of sense because then when you put the instrumented and tagged pallets into the U.S., you'll get value much quicker. So that was sort of where we were coming from. I think that was 6 months ago. Roll-forward now, we have this target of trying to convert 100% of the customers to the effortless service offering in Chile. We're at 95% at the half of the year, first half. Last night, we got another 1 converted, so we're pretty close to 99% now. So again, that is great. But to really prove out some of the use cases and the value cases, we need the assets in those converted customers to turn 2 or 3 times. And that, therefore, means 9 months-ish. So I think we're talking now about let's just make sure we've got the data to absolutely cross the Ts, dot the Is on the value cases. We're getting a much closer, better idea about the cost because we've now gone through various iterations of that. And then we can make the decision. So we're not -- we haven't decided to roll it out yet, but it's fair to say we are getting close to that point. And all the green shoots are there, but we still want the capital discipline point that Joaquin mentioned earlier, we're not going to do this unless we're very sure that we'll get the 15% return on investment.
Operator: Your next question is from Sam Seow from Citi.
Samuel Seow: Just a question on margins, in particular, Slide 15 there. On supply chain, the productivity is about 80 basis points. So that looks like it's up almost 240 basis points year-on-year. So just wondering, one, if you can talk about what the big drivers there were? And two, as we think about the future, do we expect, that additional margin expansion, call it, 120 basis points to come incremental to normal operating leverage? Or is that just included in it?
Joaquin Gil: Okay. I'll have a crack at the first question. The second one was a little tougher. But I think your read of the supply chain productivity is right. And essentially, what has driven that is, I would say, procurement initiatives. So we've got enhanced processes in terms of our procurement, transport, productivity and plant optimization. So I think the team have done a great job of looking at the network, understanding structures, where could we make improvements in our plant network. And obviously, we continue to get the benefits from automation and the durability investments where we've invested. Your question, I think, was on the margin improvement as we look out. How I would...
Samuel Seow: Yes. Is it going to be incremental? Or do you think it's just normal operating level?
Graham Chipchase: Yes, I'd sort of bring you back to just our investor value prop and how we think about it, which is that we would expect to be delivering high single digits UOP growth.
Samuel Seow: Got it. Okay. That's helpful. And then maybe on that asset efficiency line, you know, IPEP, not a contributor to this result. You said that lever is mature and plus or minus. We expect that the percentage of sales is going to be largely flat. So just wondering with S+ yet to really fully roll out, is that going to be incremental to your previous kind of IPEP to sales commentary? Or should we see the benefits as S+ in another line? Thanks.
Joaquin Gil: Sam,, you're exactly right. So we've been talking about that sort of target of IPEP to sales at 1.6% of sales. That is pre S+ rollout. And then, the benefits of S+, I say, we'll see not only in asset efficiency, but we'll see it in all lines of the P&L. So helping with revenue in terms of attracting new business, retaining existing customers, supply chain productivity. So I think there's a broad range of benefits that could come from S+, but asset efficiency is definitely one of those.
Samuel Seow: Got it. Got it. And then lastly, on net new wins. Is there like a number or percentage or a stat you can give us that kind of explains the wins coming from Whitewood from NPD or expanded lanes, as you'd call it? Just trying to get some insight into these new customer wins that basically aren't coming from competitors and you're seeing the benefit of those expanded lanes?
Graham Chipchase: Yes. I can give you an indicator, which is most of it's not coming from competitors. That's your indicator. We're telling you, it's not -- it's coming from competitors. It is the majority, as you've just said, is Whitewood, and then there's a chunk of new lanes. I think if we look back over the last 18 months in the U.S. market, for example, our estimate of the market share movement between us and PECO, who obviously the major competitor, is minimal. I mean it's almost zero. So yes, there have been some ups and downs, but over that 18-month period, the relative market shares haven't changed. And that's obviously our analysis. It is hard to get the numbers because they're not a public company, but that should give you some confidence that it's largely coming from Whitewood and other lanes.
Operator: Your next question is from Cameron McDonald from E&P.
Cameron McDonald: Two questions from me. Firstly, just in that outlook with the improved volumes that you're expecting to see gather the -- we've got the point about the weaker PCP in the second half as well. But we've seen a range of companies come out in that CPG space talking about having to discount to drive volume growth. What are you seeing and what engagement are you having with some of those customers around their -- expectations around discounting or promotion?
Graham Chipchase: So when we talk to them, I mean, one of the interesting things is we're interested in what their volume -- their view is, and whether it's coming from discounting or not, is not irrelevant to us, but certainly, we just want to know what they think the volume pattern is going to be like. And I have to say the majority of the ones that we talk to don't actually know. I mean, I think it's such a volatile environment out there that it's very hard for them to predict, and therefore, it's hard for us to predict. The only sort of signs that we see are that there seems to be a slight uptick in U.S. consumption. It was looking very good in January and then they had the big winter storm snowstorm, which has made -- put a bit of fuzz into the equity of the data. But again, looking into February, I think it's beginning to look good, back on track again. So that's very, very green shoots and wouldn't want to call that yet, but it feels like -- if you put that in conjunction with potentially some of the tax changes in the U.S. and the World Cup coming up, it would sort of gives us a bit more confidence that the U.S. certainly appears to be going in the right momentum. Europe is very difficult because it's not one market. Some parts of the continent are doing pretty well like Iberia, others not so well like the U.K. and Germany. So it's very mixed in Europe, much harder to predict. But that's -- and yes, our customers are saying the same thing it's hard for them to predict.
Cameron McDonald: And you've mentioned the weather, Graham. I mean, a few companies have called that out. What do you think that headwind for the -- has been in terms of sales in -- early in this second half?
Graham Chipchase: I don't think -- so it's U.S., clearly. I don't think it's been more about disruption to the supply chain and costs to then catch up. I think some of the sales I've been hearing you, they are catching up in February, so they're not lost forever. Some of them will be, undoubtedly, but it's not going to be material from what I see at the moment.
Cameron McDonald: Okay. And can I also ask about Serialization Plus in Chile. And thanks for the examples of some of the benefits. Joaquin, you're probably going to expect this question, but can you actually give me some quantification of what those benefits have been, either numeric or operationally, in terms of what the improvement in either the turn rates or the margin or anything other than just anecdotes?
Joaquin Gil: I'll do my best here, although as Graham talked about, we're really keen to see a few more turns in the Chile market. But I think Slide 8 was our attempt to give you when you look at the Serialization Plus value scorecard, the areas where you might see value. And I think, Graham, in the answer to one of his earlier questions, is a really good example of that. If you think about damage rate in a market, it's been very hard to know where has damage occurred. So it comes back, but that pallet may have gone from a manufacturer to a retailer and back to us. what the team have now been able to do in Chile is you can map essentially the flows, so you can understand in this leg of the journey, the pallets being damaged. So then that allows us to take action either training of staff, thinking about how we do it. So I think that's one. Net new wins. We've seen some progress there where customers have converted to our offering in that market because of the lessening of the administration burden and the insights that we can provide. So I think for me, there's a whole range of benefits, but before we wanted to put numbers on a page and say this is what it looks like, we need to see a few more turns. And then obviously, before we made a full decision to roll out in the U.S., we'll present an update on what's happening in Chile and why we have confidence in returns. So may not have fully helped you, Cameron, but hopefully a start down that journey.
Cameron McDonald: Yes. Well, I think to put you on notice, you're going to -- if you come back and ask for a couple of hundred million dollars worth of support investment, you're going to have to give us some actual data, right, in terms of what the returns have actually been. And so just in terms of the hurdle of the 15%, presumably because you haven't either had enough turns or you have not decided yet to execute the full rollout, can we read that as being you have not reached a 15% return or you do not see an immediate pathway to 15%.
Joaquin Gil: So a couple of things, if I can just chip in. One was, firstly, I'd expect nothing less than the staff to give you a really solid proposal. And let's be honest, Graham and I wouldn't approve it if there wasn't a solid proposal. So I think that's a very reasonable ask and you have our commitment on that. And then I think what we talked about on the 15% return is that was annualized after a pool that's been fully serialized. So when you think of Chile, Graham touched on it earlier, we're essentially fully at the ESO offering. So that's why we think we need another 9 months or so to be able to show the returns and have confidence in that number.
Cameron McDonald: Okay. Great. So halfway through first half '27 or at half year '27 results, you're going to have -- it's a decision point effectively.
Joaquin Gil: Yes, I'd say somewhere between sort of that point and 30th of June, let's say, roughly, right? So it's very hard to be fully specific. 9 months from now is a little longer, but obviously if we had enough information at the February results, we would share it. I mean, we're very conscious that once we're in a position and we have the information, then we will share it with the market.
Operator: Your next question is from Scott Ryall from Rimor Equity Research.
Scott Ryall: Perfect. Joaquin, Cam just noted down 19 November, just so you know. Now, I had a question on Slide 8 as well, and it's not for quantification, but I'd be fascinated on the right-hand where you progress today, you talk about customer conversions and line expansions. You've talked about the customer experience, and I'm wondering if there's -- and then you've also talked about insights. Could you just talk about the noncustomer experience? And I guess that the reduced admin burden, simplified billing model, I get that, that's pretty clear when you do Serialization. But -- just what are the other benefits that you're seeing in the early stages that customers are finding that's helping you win business, please?
Graham Chipchase: I think, Scott, the main one is it's easier to do business with us. I think that is the main one. I think as we start using the tools at S+ and ESO is giving us in terms of working with the customers to show them exactly where some of the damage is occurring or where some of the loss is occurring, so that we can then work with them to improve their supply chains, their businesses, take waste out of their operations. That is what, I think, that will start making a big difference for them and for us. But at the initial, go-to-market proposition is you don't have to deal with these audits and declarations. That's what's got us to the business so far.
Scott Ryall: Okay. So it's still pretty preliminary on those further benefits around helping customers take out waste and those sort of things.
Graham Chipchase: Yes.
Scott Ryall: Great. And then just, I'm just coming back to the pallet balance being optimized and your comments about the U.S. pallet balance being optimized by the end of first half '27, so end of calendar year. Does that -- what's the implications with respect to CapEx levels once that happens, please?
Joaquin Gil: Yes. I think we -- that's why we've really tried, Scott, to quantify the CapEx benefit. So, in this half, we haven't had any. I think if you look back on what we said for the full year FY '25, we've roughly quantified that as 0.5 point. But obviously, that will vary depending on volume growth, et cetera. But I think the key message that I would take away from this is the asset productivity and cash flow performance is sustainable. It's not driven by the use of excess pallets.
Scott Ryall: So, Joaquin, just to follow up on that. Because I remember that feedback you gave at the full year. And that was, I was a bit confused with the fact you've still got surplus pallets, but you've had no benefit in this half. But yet that surplus will be will be optimized by the end of this calendar year. So why is it up? So does that mean relative to the fiscal '25 number, it's kind of 0.5% or is it -- is there another way of thinking about it? I'm just a bit confused about what you're saying.
Joaquin Gil: Yes. I think another way, maybe, that might be simpler is, we've often quoted a rough rule of thumb that is 1% of volume growth is 1% of pooling CapEx to sales. So the way I look at it is the business delivered 11.8% pooling CapEx to sales with essentially flat volume. So then if you forecast volume growth at a group level, let's say, volume was 2%, then you would add 2%. So for me, Scott, another way, just linking back to that, is if you think about Investor Day, what we said is you should expect pooling CapEx to sales to be in the 15% to 17% range, and that was based on 2% to 4% volume growth. So were essentially in line with that, if that takes all the noise away of excess pellets, et cetera.
Operator: Your next question is from Niraj Shah from Goldman Sachs.
Niraj-Samip Shah: Just another question on Chile, following up on Matt's earlier question on the differences between Chile and say, the U.S., for example. Graham, I think you said that the biggest difference is scale, I guess, both of the market and of the competitors. Does that mean the market structure is similar? Is the pooled solution roughly half the market and you guys are kind of 80% of that? I'm just curious.
Graham Chipchase: We are -- of the pooled market, we are bigger than 80%. We've got a small competitor in Chile, not a PECO-like competitor. And the penetration of the market, I'd have to double check, but I would think it's probably a bit more penetrated actually, maybe it's not. I mean it's probably about the same as U.S., I would guess, but we'll have to check that out.
Operator: [Operator Instructions]. There are no further questions at this time. I'll now hand back to Mr. Chipchase for closing remarks.
Graham Chipchase: Well, thanks, everyone, for your questions and for joining the call. Looking forward to seeing, I think, most of you over the next few days. So we'll have more questions then, I'm sure. Thank you very much.